Operator: Greetings, and welcome to Bright Horizons Family Solutions First Quarter 2022 Earnings Call.  As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Michael Flanagan, Senior Director of Investor Relations. Thank you. You may begin.
Michael Flanagan: Thank you, Doug, and hello to everyone on the call today. With me on the call today are Stephen Kramer, our Chief Executive Officer; and Elizabeth Boland, our Chief Financial Officer. I'll turn the call over to Stephen after covering a few administrative matters. Today's call is being webcast, and a recording will be available under the Investor Relations section of our website, brighthorizons.com. As a reminder to participants, any forward-looking statements made on this call, including those regarding future business and financial performance, including the impact of COVID-19 on our operations and on acquisition activity and strategy, are subject to the safe harbor statement included in our earnings release. Forward-looking statements inherently involve risks and uncertainties that may cause actual operating and financial results to differ materially and are described in detail in our 2021 Form 10-K and other SEC filings. Any forward-looking statement speaks only as of the date on which it is made, and we undertake no obligation to update any forward-looking statements. We also refer today to non-GAAP financial measures, which are detailed and reconciled to their GAAP counterparts in our earnings release, which is available under the IR section of our website. Stephen will now take us through the review and update of the business.
Stephen Kramer: Thanks, Mike. Hello to everyone on the call, and thank you for joining us this evening. I hope that you and your family are doing well. I'll start tonight with a review of our first quarter results and provide an update on the business as we approach the midyear point in 2022. Elizabeth will follow with a more detailed review of the numbers before we open it up for your questions. I'm pleased with our start to the year and with the pace of the continued recovery in our business. We delivered 18% revenue and more than 100% earnings growth for the first quarter, generating revenue of $460 million and adjusted EPS of $0.47. We executed well in the quarter, again navigating a dynamic environment driven by the persistent effects of COVID-19 variants and the broader economic impacts, which for us are particularly evident on the staffing front. In our full-service segment, revenue of $354 million represents an increase of 22% for the quarter. We added nine organic centers, including new client centers for the University of North Carolina and Olympus America as well as two centers for Bryan Medical Center. We also reopened seven more centers in Q1 and ended the quarter with 97% of our 1,019 centers opened. In our open centers, enrollment levels improved throughout the quarter and into April. I remain encouraged by the underlying demand trends that we see across all our center model types, cost-plus bottom line and lease/consortium. We have increasing numbers of parents expressing interest, scheduling tours and registering in our centers as families continue to solidify their work and life schedules. We are also making positive strides on the staffing front. Our staffing levels increased throughout the quarter to serve the growing enrollment requests, and our talent and operations teams have been hard at work, creatively deploying solutions and taking actions to address the unique conditions. Although we remain constrained from enrolling all of the families requesting care in some of our locations, the actions we took last fall and earlier this year, including increasing wages and expanding benefits, have positively impacted our recruitment and retention efforts. Also, as the Omicron surge slowed in the second half of Q1, increased applications and interviews with prospective employees have been increasing, and our conversion rate to new hires continues to tick up. These leading indicators are a positive sign of the progress we are making in a still very challenging environment and a strong affirmation that Bright Horizons is the employer of choice for early educators. Let me now turn to back-up care. Revenue increased to $81 million or 6% over the prior year. We had another solid quarter of new client additions with 7-Eleven, Intel, Mount Sinai Health all launching in the quarter. As we discussed in February, the Omicron wave disrupted use levels in the latter half of Q4 and into Q1 as families showed some hesitation to engage with intermittent care solutions given the sharp rise in infections across the country. In addition, the availability of care providers was constrained in similar ways to our full-service childcare centers, which limited some placement of care. Encouragingly, as we progressed through the quarter, traditional use improved, both in-center and in-home, through February and March, and we look forward to the opportunity to deliver care under more normalized conditions this summer. Over the longer term, our growing list of clients and range of use cases further expands the opportunities over the longer term. Our educational advisory business delivered revenue growth of 6% to $26 million. We added several new clients in the quarter, including launches with Hasbro, Papa John's and Yahoo!, and continue to see solid use levels at College Coach and EdAssist. Of particular note, we are proud to have been selected to manage McDonald's Archways to Opportunity program. Launching with EdAssist yesterday, this program offers more than 350,000 McDonald's employees across 14,000 U.S. restaurants the opportunity to earn debt-free high school and college degrees. This program exemplifies the investment and focus by employers in workforce education and demonstrates how well positioned we are to support clients and prospects who are looking to differentiate their employee value proposition as well as upskill and reskill their employees into hard-to-fill roles. Now on to an exciting development we just announced this afternoon. One of our 4 key priorities that underpin the work we do is to extend our impact in early education through strategic growth. To that end, I am thrilled to share that we will be entering the Australian market through the acquisition of one of the leading providers of early education and childcare, Only About Children. We have signed a definitive agreement and plan to close later this summer. Our success with this transaction further demonstrates our global reputation as an acquirer and partner of choice among like-minded, high-quality providers. The Australian market is structured around three key elements that align really well with our company's growth strategy. First, we are attracted to markets that have some form of third-party financial support for tuitions. Australia has a long history of providing robust support to families through the government-operated Child Care Subsidy or CCS program. CCS improves the affordability of childcare for families by covering a significant portion of the cost, thereby enabling parents to prioritize quality in their selection of childcare. Second, we look for markets with a quality-focused regulatory system. The strong national regulatory framework in Australia provides objective and transparent oversight and consistent measures of quality across the industry. It focuses on seven areas, including educational program and practice, children's health and safety, physical environment and relationships with children. And finally, we value markets with a potential for organic and acquisitive growth as well as positive supply/demand characteristics. The childcare industry in Australia is highly fragmented, with smaller providers representing roughly 80% of the market and a growing number of children and families utilizing center-based care. Within this positive context, we are particularly excited to be coming together with Only About Children, a high-quality premium provider focused on serving working parents in 75 centers located in the Greater Sydney, Melbourne and Brisbane areas. In collaboration with the Only About Children team, we intend to utilize our service capabilities and expertise to further grow and broaden their impact to families in Australia. We look forward to welcoming the entire team, children and families to the Bright Horizons family later this year, and we will share more details about their financial contribution to our business once the transaction is completed. Let me turn to our outlook for the rest of 2022. Based on operating trends, we are revising our 2022 revenue growth to approximately 15% to 20% with operating leverage driving adjusted EPS growth of approximately 53% to 63% or $3.05 to $3.25 per share. I continue to be very optimistic about our future as we continue to make progress post-pandemic, leveraging our strong client partner relationships and differentiated business model to extend our services in the years to come. Before I close, I want to take a moment to recognize our entire Bright Horizons Family's unwavering commitment to upholding the principles, values and culture that makes Bright Horizons such a special place to work. We have once again been named to Forbes' list of Best Employers for Diversity, Bloomberg's Gender-Equality Index, and the Human Rights Campaign's Corporate Equality Index. We are an intensely human business, and these external recognitions are important as they validate who we are as an organization, help us to continue to recruit and retain dedicated and talented professionals in our field and demonstrate to our client partners our commitment to common values. With that, I'll turn the call over to Elizabeth, who will review the numbers in more detail, and I will be back with you during Q&A.
Elizabeth Boland: Great. Thanks, Stephen. As Stephen just said, I will recap the quarter's results and then provide some updated thoughts on our outlook for '22. For the first quarter, overall revenue increased 18% to $460 million. Adjusted operating income of $31 million was 7% of revenue, and adjusted EBITDA increased 36% to $63 million or 14% of revenue. In the first quarter, we added nine new centers, and we reopened seven of the centers that have been temporarily closed. We also permanently closed 4 centers. Full-service center revenue increased $64 million to $354 million in Q1, which is a 22% increase over the prior year. As Stephen mentioned, our enrollment continues to build, and occupancy now averages between 55% and 65% of capacity across the portfolio. This sequential improvement, despite the lingering effects of COVID, reflects a continuation of the steady progress that we have seen since the earliest stages of reopening our centers. Our first quarter revenue also reflects a $10 million reduction to client subsidies relating to the ARPA government supports that we receive. As a reminder, these supports reduce the operating costs in our client-sponsored centers, which would otherwise be covered by the client subsidy. Excluding this revenue and cost offset, which has no net effect on operating income, our full service revenue growth would have been roughly 25% in the first quarter, which compares well to our expected range of 25% to 30% increase. Adjusted operating income in the full service segment improved $25 million over 2021 to a positive $7 million. The operating income flow-through was 40%, driven by the enrollment gains and improving cost efficiency even as we continue to experience constraints in the labor market as well as from the continued support from government programs that are targeted specifically for the childcare industry. Our back-up revenue grew 6% to $81 million, which again is generally consistent with our expectations in the first quarter. As in our full-service childcare business, Q1 back-up care growth was dampened as the Omicron variant impacted demand trends, cancellation rates and staffing and provider availability in late Q4 of 2021 and into Q1 of 2022. Our operating income of $20 million was 25% of revenue, which again was broadly in line with our expectations for the quarter. Our educational advising segment reported growth of 6% on contributions from new client launches and expanded use of our workforce education, college admissions advising, and Sittercity services. Interest expense of $7 million in Q1 was down $2 million over 2021 on lower overall borrowing costs in the quarter, although in the current environment we are expecting interest to tick back up to around $8.5 million to $10 million over the rest of the year as rates continue to rise. Our structural tax rate on adjusted net income has also increased to 26% for 2022, compared to 21% in the first quarter of 2021 on increasing taxable income and lower tax benefits from equity activity under ASU 2016-09. Turning to the balance sheet and cash flow. For Q1, we generated $59 million in cash from operations, made capital investments of $12 million and executed approximately $40 million in share repurchases early in the quarter. At March 31, our leverage ratio was 2.5x net debt-to-EBITDA with $257 million of cash and no borrowings outstanding on our $400 million revolver. So now moving on to the 2022 outlook. Our revised guidance reflects our current operating trends as well as other market and business factors, including the effects of foreign exchange rates on our non-U.S. operations, rising interest rates, the timing and quantum of government support funding, and general inflation particularly for us on labor costs. In terms of the top line, we now expect 2022 revenue broadly to grow in the range of 15% to 20% or a range of $2 billion to $2.1 billion. At a segment level, we expect full-service to grow roughly 15% to 20%, back-up care to grow between 10% and 20%, and ed advisory to increase to the low to mid-teens. In terms of earnings, this will translate into sequential improvement over the course of the year, and we expect 2022 EPS to be in the range of $3.05 to $3.25. In the more immediate time frame, our outlook for Q2 is for full service revenue growth of roughly 13% to 15%, back-up growth approximating 15%, and ed advisory growth in the low to mid-teens, similar to the full year. This translates to an overall total revenue growth range of 13% to 15%. And in terms of earnings, we are expecting Q2 adjusted EPS to be in the range of $0.65 to $0.70 a share. Lastly, as Stephen discussed, we are excited to announce today that we entered into a definitive agreement to acquire Only About Children, a high-quality early education provider in Australia. This beachhead acquisition provides us with entry into an attractive market with an opportunity to leverage our service capabilities to families and clients and to expand our position as a global leader in early education. As stated in the press release, we are acquiring 75 centers for AUD 450 million, which translates to roughly USD 320 million. We plan to fund the acquisition primarily with cash on hand and borrowings under our existing revolving credit facility and anticipate the acquisition to close in Q3, at which point we will provide more details around this financial contribution. In the meantime, to provide some high-level operating context, Only About Children generated roughly USD 140 million in revenue in 2021, and the centers generally operate at similar margins to the rest of our global full-service operations when comparing our respective performance to the pre-COVID period. However, given the near-term effects of the integration and financing costs, we would anticipate limited earnings contribution from Only About Children in the first year of operations with Bright Horizons, with accretion to follow in subsequent periods. In summary, we continue to be pleased with our progress in returning to pre-COVID enrollment and utilization levels and overall financial performance. And with the evident strength of our business model in such a fluid and dynamic operating environment, we see the future is bright indeed. So with that, Doug, we will go to Q&A.
Operator:  Our first question comes from the line of Manav Patnaik with Barclays. Please proceed with your question.
Manav Patnaik: I just want to touch on just the guidance revision. Relative to your initial expectations, Elizabeth, maybe if you could just - what exactly changed there? And maybe just the ramp-up assumption for the year you've built in there.
Elizabeth Boland: Sure. So we have - there's a couple of things, as I touched on briefly in the revision there, that would categorize as external sort of factors, if you will. The foreign exchange rates have - the dollar has strengthened significantly in the last couple of weeks and months, and interest rates have more - have solidified into the level that we expect them to be for the rest of the year at this point. So those factors along with a higher tax rate - so it's higher in the first quarter but it's also a step-up of about one percentage point from where we had expected earlier in our guidance. So those three factors alone take approximately $0.10 or so out of our projection for the full year. As it relates to the rest of the performance, I think it's just a matter of us being 4 months plus into the year now. We had our estimates coming into mid-February with how enrollment was tracking, which is good and solid, but we are seeing some continued pressure on the labor front, where there - it's been a bit stubborn even as we've gained enrollment and gained some efficiency there. There is a continued challenge with labor supply. And so we've - in some markets have been needing to continue to move on wage rates. And also in some markets, particularly in our European operations where contract labor or temporary staffing labor helps to fill the staffing gap, it tends to be more expensive than employment labor. So those are a couple of the factors, and I think the only other thing that I'd throw in that it's - certainly, in the news, it's not the biggest factor for Bright Horizons, but energy costs continue to be quite high as well in our lease model centers. That can have some effect in terms of energy costs.
Manav Patnaik: Got it. And then if I could just touch on the acquisition in Australia, can you just help us with some of the profitability metrics on that asset? And just on a high level, from a timing perspective, I mean I would think there would be - the capital could be used perhaps in the U.S. better off. Why Australia now?
Elizabeth Boland: Yes. Let me take the first part, and I'll let Stephen talk about the strategic aspect of the investment. And not to deflect too much, we haven't completed the transaction. We did give some high-level guidelines on where their performance was in 2021. So USD 140 million of revenue, and this is a full-service childcare business, which operates with similar parameters to our global full-service business. So we're all still in a recovery bit from the COVID pandemic. Australia has had solid government support throughout, which is sort of similar to our Netherlands operation, where there was a bit less contraction in enrollment and so a little bit quicker recovery. But broadly speaking, we see them as performing similar to our full-service business over time. And we have, as I mentioned, some integration costs early on but expect that the accretion would look like full-service business once we get 6, 12 months under our belt. But Stephen, why Australia?
Stephen Kramer: Sure. So first, just to take a step back, I think we've been really pleased over the years with the expansion that we've made into the U.K. and into the Netherlands. That has proven to be a very good use of capital and a very strong opportunity for us to have impact outside the United States. We have been evaluating and looking at Australia for a number of years now. Australia really does stand out as a market with strong government support similar to the work and government support that we see in the Netherlands. And so we believe that going into it, a new opportunity that has strong government support to defray some of the costs for working families. In addition to that, there is a real focus around quality provision in Australia. And the regulatory regime is actually quite similar to what we see in the U.K. in terms of it being very transparent and parents really being dialed into quality provision. And so overall, as we looked at an opportunity that had 75 centers, we saw that as a tremendous opportunity for a beachhead in a country that makes a lot of sense to begin our expansion plans in Australia, which, again, we believe, is a strong market for us. As we talk about the United States, certainly, we continue to track progress here in the United States. I will say - and we've shared this over the last several years, for the most part, what is available in the U.S. are small tuck-in acquisitions, so one, three up to maybe 10 or 12 groups, really limited as it relates to larger-scale opportunities like the one that we are starting with in Australia. And so again, we'll continue to seek out high-quality opportunities in the U.S. but believe this is a really great step forward for the company to enter a new strong market with a premier player within that market.
Operator: Our next question comes from the line of Andrew Steinerman with JPMorgan. Please proceed with your question.
Andrew Steinerman: Can I just ask about Only About Children? It sounds like it's really kind of focused on the parents and the government subsidy. I believe there's another player in that market called Guardian that's really focused on more corporate opportunities in terms of childcare, and if you could just comment on the positioning via corporate childcare in that marketplace. And is that a good market?
Stephen Kramer: Absolutely. Thank you, Andrew. So certainly, both Only About Children as well as Guardian are recognized as both very strong quality players. Both really do benefit from the government support that is provided to working families. The amount of employer support in that market is actually quite limited sort of categorically and across all providers. Given the fact that because there is strong government support in a market like that specifically focused on full-service childcare, you tend to see employers step back from actually directly supporting childcare centers. And so I would say that you have highlighted two very high-quality players in that market. The largest player in the market is a nonprofit, and then there are probably a half dozen in terms of size and scale between that largest nonprofit and the two players that you identified that we also see as the premier players within the market. So again, we like our position with Only About Children. We believe it's a great starting point for our growth in that market and believe that similar to the Netherlands, because the government has programming to defray some of the costs of childcare, that we are able to compete on quality, which is something that Only About Children does well, and we will continue to support them in those efforts.
Andrew Steinerman: Okay. And Elizabeth, would you be willing to talk about the capacity utilization in the second quarter or the current quarter that we're in that you're expecting to fall within the parameters that you laid out?
Elizabeth Boland: Yes. I mean our guidance looks to probably a similar slope to what we've been seeing in the last few quarters. So a couple of percentage points ticking up based on how we're seeing April come in. And then this quarter, as you know, is sort of a solid enrollment cycle before the - any summer turnover, if you will, that happens with older children getting ready for elementary school. So we're pleased with the performance in Q1. As you heard, we moved up the average range from - what has been averaging around 50% to 60% is now averaging 55% to 65%. So we're seeing good, solid improvement there, a couple of percentage points of uptick that we would expect to see again continuing in Q3.
Andrew Steinerman: Okay. Last question, if I could. Just any new initiatives around the summer strategy and using the summertime. Surely, you mentioned camp, I've heard tutoring, those type of things. And so with all that in mind, do you feel like there might be kind of, let's say, newer drivers this summer before we even think about the fall?
Stephen Kramer: Yes. So look, the summer as it relates to back-up care tends to be a very strong season for us. And what I would say is last summer and obviously the summer before saw a more dampened ability for us to deliver traditional care in the form of summer camps and even in-centers and in-home given the capacity constraints that we saw. As you know, we acquired Steve & Kate's Camp, and we are certainly in the planning process around opening many more camps than we had opened last year. And I think that is emblematic of the broader sort of summer camp market, where there is absolutely going to be more supply. And therefore, we are going to be able to meet demand at a higher level than we have seen over the last two years. So again, summer is really important for us. We're looking forward to it and believe that we're going to be able to support working families during this important season where their children are off from school and ultimately, they need to be at work.
Operator: Our next question comes from the line of Hamzah Mazari with Jefferies. Please proceed with your question.
Hans Hoffman: This is Hans Hoffman filling in for Hamzah Mazari. My first question is, could you just comment on how you're thinking about labor availability easing? I know like last time, you guys touched on this. You couldn't really meet demand due to labor. So I guess, where do you stand now? And how is it geographically in terms of labor easing now when you look at the overall portfolio?
Elizabeth Boland: Yes. So I think that it's been sort of an all-hands-on-deck effort for us with our talent acquisition team and others in the field to be identifying and onboarding as many people as possible. I think that there's no one geographic area that is particularly notable except at, I'd say, some of the more urban environments, have been a little bit more challenged than some of those that are more suburban. But we are making progress, I think, in all of our key markets and are taking an approach that is not unitary across the country, so taking a different approach in different locations, different - with different clients, different cities so that we are addressing the needs that are appropriate for those locations. So I'd say that our - as we said in the prepared remarks, pleased with the progress, but it continues to be as enrollment rises, as we are getting more families back, it remains quite an acute problem in terms of accessing all of the supply that we need, and we continue to hold enrollment in a number of our centers because of that.
Hans Hoffman: Great. Yes. That's definitely helpful. And then just my follow-up. So could you just give us a sense of how big ed advisory could be for you over time and how M&A can sort of play a role there? I know back-up gets more focused outside of full-service daycare, but just any thoughts there would be helpful.
Stephen Kramer: Sure. So in the ed advisory segment, just to be really specific, we have our EdAssist line of service, which is focused on workforce education, so employees going back to school. It also includes College Coach. And then finally, a small portion of it is related to Sittercity. Where we see the greatest opportunity is really in that first part of the segment, which is supporting employers as they think more strategically about upskilling and reskilling their employee base and making their employee value proposition stronger through workforce education. That's where we see a particular opportunity and upside in this segment. We think that today, the vast majority of employers do this work themselves internally. And increasingly, we are able to work with them and convince them that working with us to support their employees to become more skilled in hard-to-fill roles is a value add. And so again, we see a very large opportunity over time in that particular aspect of ed advisory.
Operator: Our next question comes from the line of Jeff Meuler with Robert W. Baird. Please proceed with your question.
JeffMeuler: On the Australia acquisition, just first, are you assuming a financial contribution? I know that it's like EPS breakeven, but are you assuming a revenue contribution in calendar '22 in the guidance?
Elizabeth Boland: Not in the guidance. Thanks for asking that clarifying question. No, it is not in the guidance of $2 billion to $2.1 billion that we laid out. So it will be additive to that when we are completed and folded in, more fulsome commentary on how they contribute.
JeffMeuler: Okay. And then I understand the pitch for the attractiveness of the Australian market and it has some parallels to models and markets that you know well. Maybe to just take a different approach to it, what are the synergies like when you acquire a company in another market like this? It doesn't sound like there would be employer overlap given that it's a government-sponsored market. I'd imagine some like best practices sharing at a high level. But just help me understand what the synergies are. And can you - do you increase margins through the integration process? Just if you could help me with that.
Stephen Kramer: Yes. So if we use the U.K. and/or the Netherlands as the benchmark, I think what we have been able to demonstrate over time in both of those two markets is that we bring a particular competency in supporting the growth of those organizations both organically as well as through acquisition. And so I think we have a pretty well-established playbook of how to actually create the growth and the impact with support and leadership of the local team. I would say the second is there is generally great appreciation for the global quality standards that we are able to support, again, the local team with. And so I think that what we find is that we are able to add value from an educational quality perspective and therefore support additional reputation and enrollment based on that fact. I'd say the third is that given our scale, we are really helpful as it relates to systems and processes. And so think about things like enrollment systems, recruiting systems and things that at our scale we are able to deploy in market that support the ultimate success within the local environment. And so what I would say is it's less about sort of the financial synergies, if you will, as much as it is deploying the expertise and know-how that we have that allows what is a successful organization like Only About Children to be able to both grow and expand and scale and also have processes and systems to support that growth.
JeffMeuler: Really helpful perspective. And then just last from me. You gave us the ARPA figure. The other childcare financial support from government programs, can you give us a sense of what it was in the quarter? The press release says that it was up year-over-year, I think. And if you could give us a sense of 2022 full year, what you're expecting relative to what it was in 2021.
Elizabeth Boland: Sure. So branded as ARPA, there's very incidental remaining support that's come through from the consolidated CARES Act and/or CARES Act. So really, the funding that we're getting now is all ARPA. In the quarter, we had around $17 million, 1-7, of funding that was - that came into our P&L center. So excluding the effect of our cost-plus centers that I mentioned in the prepared remarks, we had estimated about $25 million in total for the full year. So some of that came in a bit sooner than we had expected. And it's also a little bit - we expect now to be a little bit higher than what we - that $25 million, we would now look at probably $30 million or so for the full year on the P&L center benefit from those supports. Of course, many of them are being deployed towards the purpose of why they're being laid out, whether it's some of the labor costs, the operational inefficiencies that happen as we're reenrolling and re-ramping and/or even supports to parents, but that's the quantum of what we would have in the outlook for the rest of the year. I'll say one other thing, Jeff, just to maybe give a more complete view of that because we did mention the cost-plus effect, it is - in those centers where our client partners want to avail themselves of these benefits, we do apply for them. And as we receive them, they reduce the cost that those employers need to contribute. So as mentioned, that was about $10 million in Q1. We estimate that could be another $15 million to $20 million perhaps over the rest of the year based on the states that we have left to hear from or receive funding from. And so that's one of the reasons for the cost. That cost-plus revenue effect we would see for the rest of the year is another element of where the revenue guidance has come in a little bit lighter than where we were before.
Operator: Our next question comes from the line of Jeff Silber with BMO Capital Markets. Please proceed with your question.
Jeff Silber: I wanted to go back to your full-service centers. Can you just remind us about the price increases you took at the beginning of the year? I'm just curious if you got any pushback and how that pushback is or was relative to typical price increases that you usually put in.
Elizabeth Boland: Yes. We did - as you know, Jeff, it's a location-by-location decision. But broadly speaking, we put through 5% to 6% increases on average this January. Some locations may have been a bit higher, but that was the average. And the response to that was quite accepting. I'd characterize it as parents understand both from the cost of labor, the challenges with our staffing situation and then now as inflation has persisted along, I think they're seeing it in many parts of their lives, but we did not receive much pushback there on that price increase.
Jeff Silber: Okay. That's great to hear. And if I could switch over back to the OAC acquisition, I know you're going to give us more color when you close it in terms of guidance. But I'm just curious, the USD 140 million revenues that you quoted in 2021, how did that compare to pre-pandemic levels? I know you talked about some of the government support, but I'm just curious how the business was impacted.
Elizabeth Boland: I mean without getting into too much detail, I think the headline is that their business was - has been impacted by the series of variants but to a much lesser degree in terms of enrollment disruption than we've seen. For example, there wasn't a similar kind of wholesale shutdown, so enrollment has persisted relatively well. So there has been - there was some contraction but it wasn't significant. That's why we quote 2021 as pretty representative really of where an annual look would be.
Operator: Our next question comes from the line of George Tong with Goldman Sachs. Please proceed with your question.
George Tong: With your Only About Children acquisition, can you talk about how it grew prior to the pandemic and how you expect it to grow longer term exiting COVID?
Elizabeth Boland: I'll generally comment about how they've approached their business. So they are an operator that has - like Bright Horizons has grown through both greenfield, new center growth and through some acquisitions. So they have been looking at tuck-in acquisitions, single sites, some multi-type locations. And that has been their growth strategy. They have also had - as Stephen mentioned, they're a high-quality provider, and there is a subsidy program in Australia that sort of sets a general level of where parent support can come through. And that provides a guideline as to where tuitions will be, but they've been - they've certainly been a provider that charges at the premium end and they have been - they do price increases that correlate to their cost of business. So those are a couple of things that have driven their overall growth over the years. It's both price and unit growth and enrollment, of course.
Stephen Kramer: Yes. And I think the only thing I would add just to touch on the second part of your question around sort of looking out into the future, again, we see a lot of good opportunity there and have done sort of a fairly extensive look at what the rest of the market looks like as it relates to growth opportunities. And we believe, given the level of fragmentation in that market, that there is some really good room to continue to build out from the starting point of Only About Children.
George Tong: Got it. Very helpful. Your occupancy rate in the quarter improved to the 55% to 65% range. Could you provide your latest views on when occupancy will return to pre-COVID levels?
Elizabeth Boland: Sure. So we can certainly give you our view on how things are trending. Similar to what we had said last quarter, we think that although we don't - we will be close to pre-pandemic levels by the end of the year, may not be all the way back there but are certainly on track similar to what we had said last quarter to be getting back to pre-COVID occupancy utilization levels in our centers by the end of the year. So that would be fully back then in 2023, but that's our view at this point.
George Tong: Got it. And then lastly, could you estimate what the tight labor market is having in terms of an impact on occupancy rates?
Elizabeth Boland: Yes. I mean again, similar to what we had said last quarter, we estimate that based on the enrollment that we are not able to take in, in our centers that it's probably three to four percentage points of occupancy that we are holding at this point. So let's say similar to what we said last quarter, we've made headway with enrollment, we've made headway with staffing, but we still have a demand profile that's ahead of our ability to take it.
Operator:  Our next question comes from the line of Toni Kaplan with Morgan Stanley. Please proceed with your question.
Toni Kaplan: I wanted to focus on the margins for a second. When I look at ed advisory this quarter and that - the margins there do tend to jump around, but was there anything in particular that sort of drove the lower level of margins? And how should we be thinking about full year margins in that segment?
Elizabeth Boland: Yes. There is, in particular in that segment - Toni, thanks for asking that. Stephen mentioned before that as our third segment and the smallest of our businesses, it does capture our EdAssist, College Coach, Sittercity and any other residual nonspecific segment information. So what is affecting the margin of that segment most significantly right now is our investment in our Sittercity business in that platform. We are building out the capabilities in that marketplace to be able to both serve parents in the B2C environment but also the significant number of clients who are utilizing the - and their employees who were able to utilize the Sittercity platform through our back-up extended family support program. So we are in an investment mode with Sittercity, so that's having an effect on that. We think for the full year, it will be in the 15% to 20% range probably overall. And that is a mix of EdAssist and College Coach being better than that and Sittercity being a headwind.
Toni Kaplan: Great. And then on back-up care, I think last quarter you talked about sort of margins being 25% to 35% for the year, first quarter obviously towards the lower end of that. But is that still a good number? Because like - or should we be thinking about it as sort of more towards the lower end of the range? Like just wondering if there's any impact from wage inflation or anything that would impact that expectation.
Elizabeth Boland: Yes. So our - it is still the range, Toni, that we're expecting for the full year, 25% to 35%. First quarter does not have the same kind of use volume that we have in the second and third quarter with all of the opportunities for care in back-up across the summer season. So it does tend to be lower in the first half and particularly the first quarter. So 25% to 35% would be the range that we would be looking at there. I think that the - to the question about inflation, it's one that maybe impacts back-up in a slightly different way in that when there is - we do use - utilize third-party providers to - as part of our service capability. So to the extent that they are experiencing caregiver inflation, it's a cost factor. But because that is a much lower cost element than it is in our full-service business, we still think that within that range, we can continue to manage what inflation effects there are there.
Operator: Our next question comes from the line of Faiza Alwy with Deutsche Bank. Please proceed with your question.
Faiza Alwy: I wanted to actually follow up on that and just talk about the full-service center margins. I don't know if I missed that, but I think you previously talked about those margins sort of exiting the year at around or near 10% level. I was curious how we should think about - if that still stands and how we should think about 2Q for that segment in particular.
Elizabeth Boland: Yes. So I don't think we've talked about exiting margins in full-service. We are on track. I think the framing has been on where we think revenue can be back to pre-COVID levels, occupancy getting close to pre-COVID levels by the end of the year, whereas margin performance will not be. So operating margins, certainly before - pre-COVID, were in the high single digits, 8% to 9%, getting to 10%. We will not be at those levels at the end of this year because we are both recovering from the enrollment standpoint and all of the cost factors that we have been talking about. The flow-through, as we mentioned, this quarter was around 40%. And so that will be - we would expect that to be diminishing as the year goes on and we keep comping against prior quarters of ramp. So that's an indication that while the operating income is improving, the marginal flow-through will be gradually contracting. But I think that's as much of a range of guidance as we've provided on those details.
Faiza Alwy: Okay, okay. That's helpful. I guess I would - I'm curious like what you need to get back to that maybe even high single-digit level, like 8% to 9%. Like is this - like what enrollment level do you need? Do you need inflation? Can you offset inflation with pricing more so maybe this year or next year? Just talk more about what gets you back to that.
Elizabeth Boland: Yes. I mean I think what gets us back there is - of course, there's a broad geographic spread here. It is - getting enrollment back to the pre-COVID levels on average is one factor. Having at least one more cycle - we had said this at the beginning of the year that we did a 5% to 6% price increase. We know that labor inflation has been higher, and we would likely have two cycles of price increase to rightsize the economics. If inflation continues to persist, we may need to be either more aggressive with those price increases or look to some other pricing capability, whether it's midyear pricing, differentiated pricing for newer families or different age groups, but we need to be dynamic about how we consider where the pricing can cover the cost increases. But in general, enrollment will do it - will contribute to it. Getting another cycle of price increase against the labor cost increases that we have seen and then also having a more visible labor market that allows us to staff in a regular - in a more regulated way, regular way so that we are in our most efficient operating structure, that's some of the factors that would get us back to that. And I think the only other - just a wildcard, a positive that I'll throw in here is that, of course, we have always been a growing business. We've announced this acquisition. But also, as we open new centers, again, we've been in a contraction and reopen mode. But as new business comes in, we do have a cadence with newer centers that are opening, that have losses during their ramp-up cycle. And sometimes, that can be a factor over time, but the underlying fundamental business is there's really no reason that we see that it won't be able to get back to those high single digits in that 8% to 10% range in the quarters to come.
Faiza Alwy: Okay. Understood. Maybe just one last question around enrollment. I don't know if you have talked about this before, but are you willing to share like how enrollment trends are across like your customer end markets? So you've talked about like health care, pharmaceuticals or tech, consumer education, et cetera. And then if there's any sort of discernible difference across end markets and whether your sort of leased centers versus employer-based centers are seeing sort of different trends as it relates to enrollment.
Elizabeth Boland: Yes. I mean I think we haven't talked about specific end-user markets except to say that where client demand is highest in the current environment where we're seeing hospitals and the health care industry in general, pharmaceuticals as well as universities having quite high demand in that they often have quite high attendance and enrollment. But it really is - it tends to be client-specific. Our client centers have slightly higher enrollment than our lease/consortium centers but not dramatically different. It's a few points on the overall enrollment scale. So I think from our standpoint, it's really more a matter of having a differentiated portfolio that can serve a variety of working parents that we haven't seen it turn out to be - it's been more geographic than it's been industry verticals.
Stephen Kramer: Great. Well, thank you all very much for joining us on the call. As you detect from our prepared remarks as well as the Q&A, we are excited about the progress that we're making and appreciate all of your support and wish you a great night. Thank you.
Elizabeth Boland: Thanks, everyone.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.